Operator: Thank you for standing by, and welcome to Serve Robotics' Second Quarter 2025 Earnings Conference Call. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your host, Vice President of Communications and Investor Relations, Aduke Thelwell. Please go ahead.
Aduke Thelwell: Thank you, operator, and good afternoon, everyone. Welcome to Serve Robotics' Second Quarter 2025 Earnings Call. With me today are Serve's Co-Founder and CEO, Ali Kashani; and our CFO, Brian Read. During today's call, we may present both GAAP and non-GAAP financial measures. If needed, a reconciliation of GAAP to non-GAAP measures can be found in our earnings release filed earlier today. Certain statements in this call are forward-looking statements. You should not place undue reliance on forward-looking statements. Actual risks may differ materially from these forward-looking statements, and we do not undertake any obligation to update any forward-looking statements we make today, except as required by law. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the press release we issued today as well as the risks and uncertainty described in our most recent annual report on Form 10-K and in other filings made with the SEC. We published our quarterly financial press release and our updated corporate presentation to our Investor Relations website earlier this afternoon. We ask you to review these documents if you haven't already. With that, let me hand it over to Ali.
Ali Kashani: Thanks, Aduke, and good afternoon, everyone. Thank you all for joining us. We've been heads down executing towards our goal to deploy 2,000 robots across the country by the end of the year, and we took some really important steps towards that goal in this quarter. We have increased our fleet size and supply hours, expanded to new markets, significantly increased our reach to customers and merchants and scaled our delivery volume. And we have strengthened our autonomy platform with every delivery. Our execution in Q2 was both impressive and predictable. We delivered revenue growth that's nearly 46% sequentially compared to Q1, right in the range of the guidance we provided last quarter. We had also said that we would grow our delivery volume by 60% to 70%. And in Q2, we exceeded our own expectations with nearly 80% growth in delivery volume versus Q1. That's 80% quarter-over-quarter growth. Given our progress, I remain confident in our ability to deliver the 2,000 robots by the end of the year, which will fundamentally shift the landscape in our industry. We are quickly becoming the first truly national autonomous last-mile delivery provider in urban environments. Just as important, this quarter, we also laid the foundation for fast growth in the second half of the year, both operationally and financially. So let's jump in. Let's start with fleet expansion and delivery volume growth. During Q2, we deployed over 120 third-generation robots, which brings our total fleet size to over 400. And here's the thing, the new robots were originally slated for Q3, but we've continued to execute with such urgency that we were able to manufacture, deliver and deploy those robots ahead of schedule. We also saw tremendous growth in our daily active robots of nearly 120% quarterly versus Q1 and the daily supply hours by over 165% sequential growth from Q1 to Q2. To put things in perspective, compared to a year ago, our daily supply hours have increased by roughly 4.5x, which is aligned perfectly with our fleet growth of roughly the same amount in the same period. And to give additional context to our growth momentum, consider that our production plans will see us more than double our current fleet by the end of Q3 and then double it again by the end of Q4. Now growing the fleet size is an important lever, but expanding our geographic coverage and market reach is just as important. We successfully launched operations in Atlanta in Q2 and also expanded existing coverage zones in Los Angeles and Miami. Having expanded from 1 metro to 4 so far this year, we now serve nearly 800,000 households in the U.S. or roughly 1.8 million people. This is approximately 5x increase in reach since the start of this year alone. In Los Angeles, which is our highest penetration market, we've made great progress in increasing our footprint. We now cover nearly 18% of the L.A. County households. This is truly remarkable for an autonomous mobility service. It also highlights how much room we have to grow. Looking ahead, we are excited to continue our expansion across the U.S. and internationally. We refer to our expansion plans as scaling with precision because we've been extremely analytical and thoughtful about how to most smoothly and positively integrate into each new community. This approach has allowed us to be successful in each new city we launch. Now, let me share some news. I'm excited to announce that we'll be launching in Chicago, our fifth major metro area, in the coming weeks. We know there is great potential to scale in the nation's third most populated market. We'll have much more to share about this on our Q3 call. Now, beyond markets and customer reach, another important building block for our growth is our merchant reach. I'm proud to share that we now have over 2,500 merchant partners in our delivery ecosystem. This is up from over 1,500 merchants in Q1 and represents a more than eightfold increase compared to this time last year. It feels incredible to say that there are now thousands of restaurants using robotic last-mile delivery day in and day out. We have also seen meaningful developments in our partnership pipeline with several enterprise relationships continuing to advance in confidential negotiations. In Q2, we also began executing on the first stages of a strategic push to explore international geographies. In May, we partnered with Msheireb Properties to complete a proof of concept of our robotic deliveries in Middle East. Successfully, we offered our Robot-as-a-Service in Downtown Doha, Qatar, and we managed to bring convenience robotic delivery to thousands of residents of Msheireb Downtown Doha. We were actively welcomed by forward-thinking city officials looking to drive innovation in this modern smart city. We were able to hit our goals for the pilot program and are now in talks to plan what's next. This is just part of our efforts to expand into additional high-growth international cities. I can't wait to share more in the coming quarters. You may have also seen our recent announcement that we've begun delivering for a new national partner, Little Caesars, the third largest pizza chain in the United States. This relationship was developed in coordination with the team at Uber Eats and is in many ways similar to our national delivery partnerships with Shake Shack, which was initially piloted in select merchants in L.A., but rapidly gained traction and has scaled into Miami and Atlanta. This was also in part a result of the strategic focus we've had on being a preferred partner for pizza merchants. We designed our third-generation robot so that it is uniquely suited for pizza delivery with an expanded cargo bin that can hold 4 large 16-inch pizzas plus Caesar Wings plus Italian cheese bread plus beverages in a single order. We also knew from prior testing that pizza merchants really care about maintaining food temperature and quality en route. So we worked hard to meet those expectations. These developments represent the gradual maturing of our partnership's pipeline and showcase the marketplace's growing confidence in our ability to deliver reliably at scale and with strong customer experience. So all in all, as I mentioned, our delivery volume has grown significantly as a result of all the investments mentioned earlier. Nearly 80% growth compared to Q1 surpassed our optimistic expectations of 60% to 75%. And despite all this rapid growth, we have maintained our 99.8% delivery reliability and our proud safety track record. This suggests to me that we are able to continue our rapid growth trajectory without compromising quality or safety. Now, let's look ahead. We are expecting to continue delivery volume growth and expansion momentum in the second half of the year, as we set out to achieve our 2,000-fleet deployment milestone. We expect to more than double our current robot fleets by the end of Q3 and also launch in Chicago as well as in another East Coast metro market by the end of 2025. This means that by the end of the year, we will have 6 fully operational hubs across major geographies in the U.S., becoming the first truly national autonomous last-mile delivery provider in urban environments. This is an important milestone because this kind of scale unlocks significant benefits to our business. First and perhaps most obvious is the economies of scale, fixed platform costs that spread across more deliveries. But what may be less obvious at first is how scale supercharges our AI and autonomy. If you recall, on our earnings call in March, I mentioned that robotics is one of the most important natural endpoint of the AI progress and how robots are an example of value accruing to the application layer, thanks to, among other things, the data and AI flywheel. Robot fleets collect unique proprietary data that otherwise won't exist. That is then used to train better models, which improves unit economics and increases addressable market for robots, which then leads to even more robots out there collecting even more data. So let's talk more about Serve's data and AI flywheel. Our fleet is collecting incredibly vast and rich data sets from our diverse AV sensor set on what's quickly becoming one of the largest autonomy fleets in cities. Every day, our fleet is generating larger and larger high-quality data that are valuable for training our AI and autonomy models to navigate cities even more efficiently. We've been investing in building out our data infrastructure as we scale our fleets. And having larger, high-quality proprietary data sets also allows us to continue attracting some of the best talent in AI and autonomy. We have significantly expanded our autonomy team to build our AI flywheel, and we will continue to do so, which enables us to take full advantage of our growing data sets with more complex real-world operational edge cases to train bigger and better models and deploy them across our scaling fleet. The final point I would make about this is that our balance sheet and strength in the robotic last-mile delivery sector gives us an important advantage when it comes to building this flywheel because this requires data infrastructure, talent and compute. Now, taking a step back, as I reflect on our progress this year, I'm incredibly energized by the momentum we've built. We executed with precision, launching new markets, dramatically increasing our delivery volume, expanding our merchant relationship and advancing the intelligence of our autonomy with every mile traveled. Most importantly, we have proven that our platform is not just growing in size, it's getting smarter and more capable with every delivery, which positions us as leaders in this space in truly mastering real-world urban delivery at scale. Looking ahead to the second half of the year, I'm more confident in our team and business than ever before. The groundwork is laid, momentum is building, the timing is right, and we are just getting started. With that, I'll hand it over to Brian to walk you through the financials.
Brian Read: Thank you, Ali, and good afternoon, everyone. Q2 was a standout quarter for Serve, one that saw us surpass even some of our most bullish goals. We deployed over 120 additional robots ahead of schedule, launched into a new market, deepened our reach in existing markets and delivered exactly what we said we would, both operationally and financially. We are scaling with precision. That principle applies not just to how we grow our fleet and geographic presence, but also how we invest and manage costs. While top line continues to grow as a result of fleet and merchant expansion, what's just as important is how we're growing with increasing efficiency through smarter deployment approaches focused on improving utilization across our markets. We're seeing meaningful progress across fundamental metrics that underpin the long-term economics of our business, utilization, supply hours and autonomy performance. These are not just operational wins, they represent the shift towards durable compounding value, as we pivot from focused investment to scale delivery. Let's walk through the Q2 results in a little more detail. Total revenue for Q2 2025 was $641,000, up 46% sequentially from Q1 and in line with our guidance provided for the quarter. Fleet revenue, which includes delivery and branding revenues, grew $117,000, a 56% increase quarter-over-quarter. Software revenues grew 36% to $312,000. These results affirm our long-held thesis at Serve that as we scale and improve utilization, each robot becomes more economically productive, generating revenue from multiple streams. As planned, we continue to invest in infrastructure and talent to support second half growth. While these expansion-related costs weighed on our margins, they are setting the foundation for future expansion, as these costs cover a larger fleet footprint. Operational efficiency is a major focus for us, and the data reflects this progress. Average daily operating hours per robot rose more than 20% quarter-over-quarter to 10.8, driven in large part by Gen 3 hardware enhancements that are increasingly representative of our fleet. This is a strong leading indicator that each unit is capable of contributing more value. Robot intervention rates, meaning the number of times a flat tire is changed, for example, decreased 25% quarter-over-quarter, which lower our variable cost per delivery and signals greater autonomy run-time. Taken together, these metrics provide an early view into the cost advantages unlocked as our systems mature. We're not just adding robots, we're making every robot smarter, more reliable and more efficient. On the expense side, we remain disciplined, investing in the areas that matter most. GAAP operating expenses for Q2 were $19.8 million, increasing from Q1, reflective of our targeted investments in new market launches and internal capabilities. On a non-GAAP basis, excluding stock-based compensation, operating expenses were $12.9 million. R&D remained our largest area of investment, totaling $9.1 million on a GAAP basis or $7 million on a non-GAAP basis, primarily tied to enhancing our autonomy software and our ongoing work around our next-generation fleet platform. We anticipate continued investment through 2025 and beyond, particularly around AI and foundation models to strengthen our market leadership. G&A and go-to-market spending were well executed and aligned with our deliberate entry and scale into new metros. We're building a model that grows with leverage, not just headcount. On the balance sheet, we ended the quarter with $183 million in cash and marketable securities. We remain on track with our decision to self-fund the 2,000-unit fleet rollout. While our cash and investments on hand are expected to fund operations through the end of 2026, though we will continue to evaluate financing opportunistically. Capital expenditures for the quarter were $6 million, tied to robot production, market launch and expansion infrastructure. Our balance sheet remains a competitive advantage, providing us flexibility to scale responsibly and invest opportunistically. Adjusted EBITDA was negative $14.9 million, driven by operational expansion in the quarter. We expect these tailwinds to accelerate efficiency, as we approach 2026. And now to our outlook. Our second quarter performance met expectations with revenue delivered in the range previously guided. Looking ahead, we are projecting Q3 revenues in line with last quarter and thus guiding to $600,000 to $700,000 of total revenue. This represents between 170% and 215% growth year-over-year. That said, it is important to provide context for this near-term revenue and the dynamics at play. Delivery revenue is expected to grow in Q3, but will be offset by anticipated declines in software and branding revenues. In software, we are expecting a dip from the conclusion of our nonrecurring software services contract with Magna. While this affects short-term revenue, this is consistent with our strategic shift toward a recurring software revenue stream, which continues to gain traction, approaching nearly 100,000 this past quarter. Likewise, in branding, we are building a strong team and seeing initial momentum. This remains an early-stage contributor to our top line, and not surprisingly, is showing variability quarter-over-quarter. While we have line of sight to a robust opportunity pipeline, in Q3, we expect these revenues to be backweighted and lower compared to Q2. Due to the early nature of these efforts, especially as we launch and establish new geographic markets, we view this as a potential upside for our near-term guidance. As Ali mentioned, in 2025, we're laying the foundation for our national operations footprint through our growing fleet, expanding geographically and building a partnership portfolio. As such, we are confident reiterating our projected annualized revenue run rate of $60 million to $80 million once our 2,000-robot fleet is fully deployed and reaches target utilization, which we anticipate will occur during 2026. In closing, Q2 delivered what we hoped for, a growing fleet, diversified revenue and a clear path to operating leverage. We're not just executing, we're getting sharper and more efficient with every quarter. As the fleet continues to grow in both scale and intelligence, our economics will only strengthen. I'm excited about what's ahead and confident that Serve is well positioned to lead this category for years to come. With that, I'll hand it to Aduke for Q&A.
Aduke Thelwell: Thank you, Ali and Brian. We will now move into the Q&A session. First, I'd like to start with a big thank you to all the investors and analysts who submitted questions via e-mail. We really appreciate your engagement. Okay. First question, what were key learnings as you optimize the 250 robots deployed in Q1? Any notable changes given that experience?
Ali Kashani: I'll take this one. Thank you, Aduke. There are 250 robots that we deployed in Q1, were really meant for us to validate and fine-tune our design and manufacturing ahead of the larger scale up in the second half of the year. And they did just that. We were able to really quickly see the impact of the new hardware that we had improved like longer battery life, improved drivetrain characteristics that made the robots move more smoothly around the city. They have better suspension, better steering capabilities and all that. And of course, we found opportunities for improvement in both design and manufacturing. And those were all implemented as the new robots started coming off the line starting actually this quarter.
Aduke Thelwell: Okay. Perfect. Next question. Do you expect to further refine the robot? Will we see a Gen 4 robot in the near term? And if so, what are you looking to improve upon?
Ali Kashani: Yes. Thanks for that. Look, we designed Gen 3 robots for the rapid scale-up that we see ahead of us. And the design and the specifications are really a culmination of more than 8 years of learning in the field. While our software and our AI is going to keep improving, in fact, at times every month or even every week, there will be updates, I don't expect that we are going to launch a new hardware platform every year. Instead, our focus is really on scaling with efficiency. So we are going to continue to cost down the design and optimize our supply chain. We are going to provide incremental upgrades to, say, compute or sensors as new, better or cheaper hardware becomes available. And then lastly, we will keep making the fleet even more reliable and durable, but we can do all that without having to launch a major new platform.
Aduke Thelwell: Okay. Thank you. The next question is about 2026. How do you think about revenue and EBITDA for 2026?
Ali Kashani: Yes. I will take this one as well. We are not yet providing guidance for 2026. I think it's worth explaining our thinking about when we provide guidance. As I always like to remind the team, we are a public start-up, and the keyword being start-up. Our primary goal is really to execute as fast as possible, really maximize the speed of execution to ultimately win the race. And what we need to do is let the team cook and design and build the best robotic platform for cities. That should be the sole focus. Being a public company has been a great advantage for us. And whether you're public or private, you should always look at things from first principles and decide what helps build the business and make it enduring and profitable versus not. So we don't want to just follow patterns of larger, more mature companies. So right now, we want to communicate how we're thinking about it, and that includes providing near-term guidance where we have sufficient confidence and believe in the information that we are providing. So Q2 was the first time we gave guidance on revenue. We met that guidance. We also provided guidance on delivery volume, which we were able to exceed. And our focus, as we said last year, we were going to deploy 2,000 robots this year. It's really been about those 2,000 robots. We are halfway through the year. We have quadrupled our fleet already this year, and we are going to quadruple them again by the end of the year to meet that target. That's the #1 focus. It's the most important milestone we have. And that national scale is going to have a lot of compounding value for us. It's going to help us jump start our flywheel with data and AI. It's going to create efficiencies. It's going to even bring more partners who are going to help us increase our utilization even faster. So while we are prioritizing right now the 2,000-robot deployment, our operational efficiency and utilization will become our main focus and highest priority when we reach the deployment. And that would help us get to $60 million to $80 million annual revenue target with full utilization.
Brian Read: Brian here, just to tie it back to what we announced. Our OpEx growth this past quarter really scaled in line with the revenue growth that we saw, and that was as planned. And we're clearly in that investment phase for that growth cycle that was just articulated. So we're going to continue to do that very strategically to aid that growth. We're going to see a lot of investment on the revenue on an absolute basis as we scale out to the full capacity, and that's going to drive the operating leverage and the thesis that we're looking to achieve in the second half of 2025. So I think we're going to see that dynamic continuing through 2026 as well as we drive more meaningful efficiencies across a much larger fleet.
Aduke Thelwell: Okay. Perfect. Next question is around talent. You mentioned investing in talent. Can you speak a little bit more about headcount and where it might get to by end of year?
Brian Read: Yes. I can provide some color here. So, I mean, our people are very in demand right now in the market, and we have a very specific strategy on how we're going to grow our team and what we're focusing on. We've seen a lot of growth as we continue to launch in new metros that help build the capacity for the operational footprint that we're establishing. And I think this year, that was tied to revenue operations, about 50% growth in headcount just in this past quarter. Going forward, we're going to continue to invest in operations. But in the second half of the year, the greatest headcount investment area will be in R&D and the software teams. That headcount will nearly double this year, as we continue to advance and mature the entire robotics and AI platform that we are working on. And I think Ali mentioned it earlier, but ultimately, this is a race to build the smartest, most capable robots and keep that flywheel spinning fast, but also continuing to grow.
Aduke Thelwell: Okay. Perfect. Can we also share a bit about tariff impact? Have tariffs affected the cost of components or the timing of receiving them?
Brian Read: Yes, we can keep this one quick. I mean, it's been a fluid situation. I think we've reiterated on the last couple of calls, right, there hasn't been a material impact. I think what's important to know is the cost reductions that we've been talking about the last 2 calls, I believe, in the BOM reduction, have really been able to help offset any of the exposure on tariffs that we're going to continue to see. So at this point, there isn't any material impact based on today's facts.
Aduke Thelwell: Okay. Next question. Can you speak to the competitive landscape? Some competitors have recently talked about their autonomy capabilities. And can you comment on how you compare?
Ali Kashani: Yes, I can take this one. I guess, I would say I wouldn't trade positions with anyone else. People have claimed things like Level 5 capability for almost a decade. And I think investors have generally smartened up about that. I think ultimately, the proof is in the pudding. And I think our numbers, our growth rate, the pace at which we are expanding our geos and also the quality of the partners that we have just speak for themselves. We have always focused on AI and autonomy from the very beginning, and it's been -- and this has positioned us well today, and we are reaping the benefits of that, of all the investments we've made so far. And we are also remaining really aggressive in assembling the best team and developing the best capabilities in the industry. And we're also opportunistic. We have the advantage of our balance sheet strength and our public stock, so we'll continue to really put our head down and execute and just build the best autonomous fleet in the world.
Aduke Thelwell: Perfect. Thank you. That's all the questions we had for today. So thank you for joining us, and I'll hand it over to the operator to conclude the call.
Operator: This concludes today's meeting. You may now disconnect.